Mark Davies: Good morning, everyone, and welcome to PHP's FY '24 Results. My name is Mark Davies. I'm the CEO. And may I begin by thanking you all this morning for attending our results presentation. We're, of course, delighted to have you here with us, including many of you who are dialing in virtually. Welcome also to our international audience. We've got quite a few investors this morning dialing in from South Africa and beyond. It goes without saying that we're very pleased to have you with us today. I'd like to spend a special welcome to our investors, analysts, bankers, trusted advisers, all who continue to play a crucial role in our journey. And your support this year to me, the management and the company as a whole has been instrumental and it all helps towards achieving such strong results that we're going to present to you and the market this morning. I'd also like to say a special thank you to my team. Many of you are in the room this morning. And it's because of the quality of the platform at PHP, the quality of the people who I work with that we're able to deliver consistent outperformance, and it takes a really, really big team effort to be able to do this. And the hard work, dedication, knowledge and depth of stakeholder relationships that we have at PHP puts me in the most privileged position to lead this business day in, day out. So thank you to you all. So on to this morning's presentation and the agenda and the team that's presenting to you today. So presenting alongside myself, we have Richard Howell, who's at the front. Richard, many of you will know very well, our very experienced CFO; and also James Buckley is joining us this morning. James is the Managing Director of our Irish business, and we're glad to have James here today. Many of you will remember James from the Capital Markets Day in October. And of course, not only did we announce a very good acquisition in Ireland this morning, we're also seeing a growing pipeline in the Irish primary care market. So very pleased that James could be with us at the presentation this morning. In terms of the agenda, I'll lead the way and I will talk us through an overview of our financial performance and what is a very good set of results. I will include an emphasis on the strong investment case for PHP. I'll highlight the acquisition we did in Ireland this morning, which I'm personally very pleased with because I think it's a great property, but it's also a great deal. Of course, we'll give an update on the government's 10-year plan because it's so topical and very much at the front of everyone's minds at the moment. I'll then pass on to Richard, who will fly through the financial highlights. That will inevitably include a focus on rental growth and the capital structure, as you would expect. Richard will pass the baton on to James. James will update on the Irish business. There's a lot going on. We all have been spending quite a bit of time in Ireland recently. And James will also give an overview of the Irish primary health market and particularly talk about the pipeline that's coming through. Then the baton will be passed back to me. I'm going to talk through 3 asset management projects. I'm going to show how we feel confident about our rental growth prospects. So I'll evidence that for you. I'll talk about our risk control development pipeline because we had quite a bit of inbound off the back of the Capital Markets Day. So I want to make reference to that and today gives me a good opportunity to do that. I'll wrap up the presentation. I'll reaffirm some of the key messages. I'll talk about the outlook. I'll give an overview of where I think we are. And at that point, I'll invite my team up to the stage and we'll address any questions that you guys have in the room. We'll have ability to roam a mic. But also for everybody who's dialing in virtually, you have the mechanism to fire in questions to the management team during and after the presentation. So here we go. You'll see that we'll have delivered a very strong set of results this morning. And by the end of this presentation, it's our job to get you all to the right conclusion, which in our mind is that not only is this a great set of results, this is a great time to be running a primary care property company. So rather than go straight into the results, I thought I would start the presentation by giving an overview and a reminder of the investment case for this business. There's clearly a lot of interest in our sector right now. So we thought we'd start by walking you through why -- we see this every day, but why we think there's a lot of interest in the space currently and the value that we know about in our platform and why it's a great time for you to invest in PHP. There's many of you in the room that know the story very well and there are some that you are dialing in who we've not met before. But as you know, we're a healthcare-focused REIT. We're in the FTSE 250. We have an incredible track record of outperformance. And we have a dedicated and continued focus on income growth and dividend growth. Now primary care is going to play a really big part in the 10-year government plan to be published in only a few weeks' time in early to mid-May. And we know this because Darzi concluded that over 50% of all primary care premises in the U.K. are no longer fit for purpose. And of course, we've got these growth drivers and tailwinds behind us, many of which I went through at the Capital Markets Day in October. There's a significant opportunity ahead, both in the U.K. and Ireland. And the theme of today's presentation is to demonstrate to you all how well positioned we are. When we think about the investment case for the business, we think about the 8 pillars. We think about those demographic tailwinds, which I think most of you will be familiar with. Yes, the population is growing, it's aging. Never before have we seen high demand for the space that we own. And of course, with the new government now firmly in place, a plan to be published, we're seeing this significant shift towards primary care and that massively works to our advantage. Our occupancy is close to 100% and we expect this to stay there for many, many years to come. Secondly, on policy. So we're now seeing this significant momentum towards primary care. The government has worked out that when a patient goes into primary care, the cost to government is GBP 40 to GBP 50 a patient. That same patient going into a secondary environment, i.e., a hospital is costing between GBP 400 and GBP 500. We're here to help solve that cost-benefit equation. And it's been a long, long time since we've seen healthcare as the #1 government priority. So there's a huge shift going on here into primary care and into the community. And I think this was very well evidenced by Darzi. But it's not just Darzi and the 10-year plan. We saw this in the budget last year, an additional GBP 25 billion of additional money committed by the Chancellor at the October budget. Thirdly, the significant opportunity that we see. I've already referenced the 50% or more of primary care premises around the U.K. that's not fit for purpose. What an opportunity for PHP to go after. It's our job to capture that and we see that as a really compelling consideration in our investment case. To do all of this, it's underpinned by a secure income. 90% of our income stream is government backed from the Irish and U.K. governments. And that all flows into our dividend. Our track record on dividend is exemplary. We're nearly at 30 years of dividend growth, often described as a dividend aristocrat. And currently, we yield close to 8% and we will continue to grow our dividend as we approach our 30-year anniversary and beyond. The sixth pillar of our investment case is rental growth. We are in a most unique position that not only is our income stream secure and long, but also we're able to deliver that on a consistent and reliable basis. And we are confident that this will continue. Our WAULT is now close to 10 years. I'm going to show you some examples later on of projects where we've got short or in fact no WAULT where our tenant has been holding over. We always retain our tenants because our properties are purpose-built. There's no alternative supply. The barriers to entry in our sector are extremely high and the platform value obviously reflects that. We have close relationships with the GPs, the practice managers, the ICPs, all the stakeholders across the board. And it was no coincidence that I made reference to my team in my opening remarks because day in, day out, we build great relationships with our stakeholders. And put a simple way, there's nowhere else for our tenants to go. Hence, we always retain them. On the finance side, we've always been a very well-run business and that is always going to continue. We have the lowest cost ratio across the sector and amongst our peers. We did actually take a material amount of overhead out of the business this year. And you will not have seen that necessarily in this year's results because the full year benefit of that will come through next year. But Richard and the finance team do a great job on the debt side. The balance sheet is very well managed. Our interest cost now, as Richard will show you later, is 100% hedged and our cost of debt is 3.4%, but more on that later. And of course, to add to all of this, we are a business with high ESG credentials and have a massive social impact in the communities that we invest. So to conclude, PHP offers secure long-term income, government-backed real estate with strong rental growth and value-creating characteristics. I would argue there's never been a better time to invest in PHP. But let's get to the end of the presentation, I hope and I'm sure you will agree with me. Just before I move on to our recent acquisition, we were, first and foremost, very pleased to announce such a solid set of results this morning, slightly ahead of market consensus, and Richard will run through that in a bit more detail shortly. But again, of course, it's pleasing to report another period of rental growth, another period of dividend growth and valuations. The reason I brought this chart upfront on valuation, I think it's really important to point out that this is the first time since 2021 that we've seen positive valuation performance, actually came through in the second half. I would describe the last 12 months as a tale of 2 halves. We had a bit more valuation decline in the first half. But importantly, that reset at the end of June, and we've started to build not just stabilization of valuation, but we actually managed to achieve some valuation growth coming through in the second half. Look, it's modest, but it's meaningful. And having had several years of challenging valuations, principally driven by the higher interest rate environment that we've operated in, we're now back on the up. So I think it's really important to point that out. And as a consequence of that, it's no coincidence that we announced a really good acquisition this morning because this gives us the confidence to start investing again, hence, the acquisition announced first thing this morning. So on that, and James is going to talk about this in a bit more detail shortly, and I'm sure you'll have many questions for us. But I'd just like to say, I'm absolutely delighted with this acquisition that we announced at 7 o'clock this morning is the Laya Health and Wellbeing Clinic in Cork in Ireland. We've been tracking this opportunity for quite some time. Our Axis PHP team in Ireland very recently project managed, the EUR 6 million investment undertaken by Laya Healthcare, which is owned by AXA. We know this business -- I think we know this building really, really well. It's a really nice addition to the portfolio. It's a great price at EUR 22 million. Earnings yield of 7.1%. We funded the acquisition from existing resources. Of course, in Ireland, we can borrow much cheaper. Our cost of capital in Ireland is much lower. Hence, the accretion that comes from this really good acquisition. I would like to, however, emphasize that this was an opportunistic acquisition of a building we know really well and an operator we have a very strong relationship with. And of course, it is a fantastic asset because it's state-of-the-art technology. We've got urgent care. We've got diagnostics alongside health and well-being. I visited this property 2 or 3 times during our due diligence and I was blown away by the quality of the offering, the technical capability that James Allen and the team have in Ireland to oversee a project like this with diagnostics, scanners and everything else. But can I just finish by saying that our core strategy in Ireland as it is in the U.K. remains government-backed cash flows. And later in the presentation, James and I will update you on the pipeline opportunities that we see in Ireland where we have a high-quality team of 30 professionals, and that gives us a real competitive advantage in the Irish market. So just to finish, for this part of the presentation, the 10-year plan, which is coming out in mid-May. So we know that the NHS is on a mission to improve health. The government is committed to doing this by reforming the system and producing a 10-year plan. Of the 3 pillars that are fundamental to this change, the one that has the biggest impact on PHP and our future prospects is delivering care closer to home, in communities and in primary care. And the NHS now has a reinvigorated energy and focus to do this and improve the health and well-being of the nation. It was best treating himself, our very ambitious Secretary of State for Health, who said that the NHS is now the neighborhood health service. I mean it's clear to us I think and everyone now that his priority is to deliver more healthcare in the community and primary care is at the heart of the new plan. So, what do we know so far about the plan and what it's likely to say when that is published in May? Look, we know there's been some changes this last couple of weeks, as you all have read, at NHS England. I think that's a sure sign that the government is keen to get on and do this and deliver quickly. They want to get out of the blocks at speed and do something transformational. And we've got a huge opportunity here to help and support government to -- we've contributed directly and indirectly to the plan. We've emphasized the importance of primary care. And in our humble opinion, not only does the NHS need reform, but the rent model in the U.K. also needs a serious look at, and we're trying to influence that as part of the process. We also know that the financial planning process for '24 and '25 that the NHS has asked every integrated care board to develop its own infrastructure strategy for the next 10 years. So you can see that alignment that the government is seeking to achieve with the 10-year plan and property and premises playing a lead part in all of that. So look, we also know that when it comes to writing on this, that there will be a significant gap between what the government sets out to achieve and the capital that they have available. And that's where PHP really comes in as a proven investor, developer, owner, manager of primary care assets. And we think we're very well placed to support the government to deliver its plan. And we think we'll be a significant beneficiary when that plan is published in May. So, on that note, I'm going to pass to Richard to talk us through the financial results.
Richard Howell: Thanks very much, Mark, and good morning to everybody in the room and online. Okay. Just looking at the financial and operational highlights for 2024. Net rental income was up GBP 4.3 million or just under 3% to GBP 153.6 million. And that growth was driven by 2 key areas; rent reviews and asset management activities, our key area of focus, an extra GBP 3.2 million of income and the acquisition of our Ballincollig facility at the back end of December '23 added nearly GBP 1 million of extra income. That extra net rental income fed through into the adjusted earnings just under GBP 93 million. So that GBP 4.3 million was offset by some additional costs in terms of interest, 1.7 million, really reflecting the additional net debt being drawn over the course of last year, GBP 17 million and some interest receivable on our forward funded developments that fell away in '24 compared to previous years. We did also face some headwinds in terms of additional administrative costs that Mark referred to earlier. So we had -- those went up by GBP 500,000 and comprised predominantly of a cost redundancy program, GBP 400,000, but that will lead to GBP 1 million of cost savings in '25 and beyond. We also had a one-off write-off of some work in progress costs, GBP 500,000. So it's probably a good way to summarize the income statement is GBP 1 million of exceptionals that won't fall into the income statement in future years. So adjusted earnings per share, 7p, resulting in a fully covered dividend of 6.9p, which is a 3% increase over the previous year. Like-for-like rental growth, GBP 4 million, GBP 3.2 million of that came from rent reviews and GBP 800,000 from our asset management activities, and we'll cover this off in a bit more detail a bit later in the presentation, along with the revaluation deficit of GBP 38 million. So overall, the investment property portfolio hasn't really changed much, GBP 2.75 billion at the end of December, and we'll talk about the adjusted net tangible asset of 105p on the next slide. LTV up slightly, reflecting the valuation declines and a small increase in net debt of 48.1%. When we look at the portfolio, the WAULT has declined to 9.4 years, but it's important to note that we have a number of agreed deals in the asset management program, which will push up back to 10.2 years, assuming those were all agreed and completed today. Occupancy, pretty much full occupancy, just over 99%. EPRA cost ratio unchanged at 10.1%. But as I've already noted, that includes some exceptional costs. So hopefully, we could see that start to fall below 10% in '25. Average cost of debt, notwithstanding a very volatile interest rate market, up only slightly by 10 basis points to 3.4% at the end of the year. Turning to the property valuation part of the book. As Mark has already mentioned, the valuation profile was a tale of 2 halves. And in particular, the second half of the year, we've seen values really start to stabilize and yield expansion start to moderate. It was only 4 basis points of yield expansion in the second half of the year compared to 13 bps in the first half. Rental growth continues to be positive and that was consistent throughout the year with around GBP 30 million of revaluation surplus in both halves of the year. So important to note, NAV of 105p hasn't really changed since June. And the other key thing to note on this slide is like-for-like value rental growth, 3.2%, up 70 basis points on '23 and up over 100 basis points on the growth we saw in '22, and we'll cover the rental growth in a bit more detail on the next couple of slides. Turning to the liability side of the balance sheet now. The group continues to have significant firepower, GBP 271 million of undrawn headroom after capital commitments and also the recent acquisition we announced today of Laya Healthcare in Cork. We've been very active on the refinancing front, carrying out over GBP 420 million of refinancing initiatives over the course of the year. The key one being GBP 170 million new term and revolving credit facility with Barclays. GBP 70 million of that was used to repay a legacy variable rate bond and that refinancing saved 90 bps on the margin once that was completed. We've also renewed our revolving credit facility with Lloyds Bank. And we have an extra GBP 25 million accordion option that gives -- add to the firepower if we choose to exercise that later in the year. And we've extended our revolving credit facilities with HSBC and Santander. When we look at the debt maturity profile, the big refinancing to do later this year in July is repay the convertible bond. So where the share price sits today, we expect to repay that out of the existing headroom. And after that, the only thing left is GBP 100 million revolving credit facility with RBS in '26 and we've already started positive discussions with them about renewing that facility and we hope to make further announcements around that over the course of this year. Looking at the debt summary, we still continue to have a wide range of lending partners. And we've deliberately refinanced the debt in the current year for a relatively short period, typically for 3 years with a view to '27, '28 when we look at the interest rate curve and the curve is back to more normalized levels where perhaps we could look to look at the refinancing structure of the group, including perhaps taking the group unsecured and perhaps tapping into longer term debt at that point in time. As Mark already mentioned, 100% of the debt is fixed or capped out. There's a bit of coverage there to deal with our future capital commitments. Debt maturity just under 6 years, average cost of debt is 3.4%, but we expect that to increase to 3.6% once we've repaid the convertible bond in July. There continues to be significant headroom in terms of our loan-to-value covenant and the portfolio would have to decline by around 38% or GBP 1 billion, which imply the net initial yield across the portfolio has ballooned out to 8% for us to hit those covenants, which we think is extremely unlikely. We're now going to touch on the growth drivers for the future, and I'm going to talk about rental growth before I hand over to James, who's going to talk about Ireland. Now we think, as Mark has already touched upon, there's a number of favorable government policies coming through that's going to help us drive rents into the future. And this is a laser focus for management to capture this growth because we appreciate most of the rental growth we talk about is backward looking. As Mark will talk about in a minute, number of asset management projects where we're seeing rental tones being delivered 15% to 20% above current passing rents. Now those create essential rental evidence for future rent reviews that will flow through into the future. And we've also mentioned in the past on a number of occasions where for new developments, rents need to grow by between 20% and 30%. And this is key to capture this growth in the future. Part of this is all driven by the government drive to get services out of hospitals into the community where it's much more cost effective to deliver those services, along with a huge shift from sickness to prevention. And you can see that in the middle graph where the number of social prescribing workers has sort of doubled since 2019. And this is all about trying to empower people to take more responsibility for their own health and well-being, reducing the burden on the healthcare system in the U.K., not only in the U.K. but also in Ireland. Obviously, PHP is extremely well positioned to deliver this extra space to houses and healthcare professionals to create extra capacity for the healthcare system into the future. Turning to our own rent review results last year in a bit more detail. We created an extra GBP 3.2 million of annualized income, a 7.7% increase on the previous years. And what's encouraging is to see as the impact of inflation starts to decline, open market rent reviews have started to pick-up the slack. As you can see from the chart on the left-hand side, we've plotted the rental growth over the last couple of years and we're very encouraged by the valuers ERV growth of 3.2% in last year and we continue to expect those trends to continue over the next couple of years, especially open market value growth to capture that 3% growth per annum coming forward. So, at that point, I'm going to hand over to James, who's going to talk about Ireland in a bit more detail.
James Buckley: Thank you, Richard. So, I'm pleased today to speak a little bit more about Ireland and I suppose to reinforce our case for continued investment in Ireland. We have a lot in common with the UK, and you'll see that over the course of our presentation. We have a growing and aging population. Our Central Statistics Office estimate our population to be 5.38 million at the moment, rising in the worst-case scenario to 6. Every scenario suggests that we're going to have significant aging. So, we are doubling our aging workforce in the next 25 years from 800,000 over 65 to 1.6 million or thereabouts. So very similar moves to what's happening in the UK. At the Capital Markets Day, I was asked about changes in the Irish government and what happens with the election. Well, we've had an election and we have a new government and it's very similar to the previous one. With Slaintecare, which is I suppose our multi-party or all party healthcare policy, there's been no change to that. So the whole primary care focus is going to -- and the out-of-hospital services is going to be retained. There's no change. The government's own money is going to be spent on beds, hospital beds. The private lease model, which is what we refer to is what the focus for primary care and integrated care is going to be and that's what we see going forward. It's interesting that before we know it in Ireland, we are one of the largest investors. Before we know it, we'll be in Ireland 10 years. I first met Harry Hyman back in 2016. So time moves on for all of us. What's been very interesting, and we'll touch on it in lean a bit more is PHP acquired Axis in 2023 and the relationships have grown significantly such that we are now finding opportunities that would have been difficult before. So I'm confident that the Laya announcement this morning wouldn't have happened without my team bringing the opportunity to help delivering it in Ireland. So it's been really positive at a personal level and indeed from the group's perspective. We have a plan to get us towards the EUR 500-odd million and the pipeline we'll touch on later. And the great thing that's happened in the recent months is the drive by the HSE to tender more work. That will come on in one of my later slides, but there are significant drivers coming ahead on that. Rent reviews in Ireland, again, you'll see the similarities where ours are CPI-based. In the 5-year period from the 1st of January, 2020 to the end of December last year, we've had 20.7% increase in CPI. So depending on when leases kicked off, a lot of that will have flown through to the rent increases in the scheme in Ireland. Income accretion is still robust, as you'll see from the graph here on the right. And I think the reasons to invest in Ireland are clear under every metric. We're not very good in Ireland at singing our own praises. But today, I'm going to try and change that a little bit. The acquisition of Axis has been very significant. None of our competitors in Ireland have anything like the capability that we have. We have over 2 dozen people. A lot of us are engineers who are very good at healthcare, primarily in acute and community. And recently, we have a significant expertise in diagnostics. We do a lot of work in the regulated sector also, not necessarily specifically focused on where we are here, but it's very akin to the other skills that we have. There are high barriers to entry, as Mark said. And in Ireland, in a small economy, they're probably even more pronounced than the U.K. We have a great team of technically skilled people. Alan, one of my colleagues here managed the project for Laya that Mark mentioned. And it's been the highlight of our, I suppose, over past 2 years. We have delivered health and wellness clinics really in Swords, which is North Dublin; Cherrywood in South Dublin; the scheme in Cork; we're in planning in Limerick; and we're going into planning shortly in Galway. So that multi-year relationship with Laya has been very significant. And it's been great that we actually managed to conclude the transaction this morning. Our technical expertise, in my view, is second to none. And it's not hard -- or it's hard rather to compare ourselves. We don't like comparing ourselves, but I believe we're the best provider in the space in Ireland. So the future, what are we looking at going forward? The fundamentals, I believe in Ireland are clear. Every lease going forward has a minimum of 25 years. All of them have an option of a 5-year increase. All of them are CPI-based. So we know exactly where we're getting to. You'll see the bottom chart here, the recent procurement call from the HSE. These refer to individual schemes. So the average scheme size is growing quickly in Ireland. Our current portfolio of the schemes are under 4,000 square meters. Going forward, they're increasing significantly. So the latest round of schemes, some of them are as large as 7,000 square meters, which is very unusual in the U.K., but it's becoming more commonplace in Ireland. The effort to deliver a scheme is pretty much the same, whether it's a 2,000 square meter scheme or a 6,000 square meter scheme. So clearly, there is a traction in larger schemes. As with the U.K., we have modest vacancy rates. We have a few vacant pharmacy units that we're doing some asset management work on. We're again less than 1% vacancy in Ireland. And I think we have 600 square meters out of 74,000, which is -- it's an impressive number in itself. In terms of the market conditions, your interest rates are falling and there's an excellent pipeline coming out of the HSE. There's a significant increase in rent rates. In Ireland, there's been no schemes happening really in the last number of years. Yes, we've acquired 2, which we're very proud of, but there's been very little development because construction costs were too high or remain high. Interest rates have come down, but the big gap was rents. So we're seeing rents increasing from essentially the mid to late teens per square foot to the mid-20s per square foot. And it's only with that change has development become practical. So we're expecting significant increases in that. The focus in Ireland is very much like the U.K., preventive healthcare, bring it into local communities. It's the smarter, more cost-effective way of delivering healthcare. Mark quoted numbers in the U.K. I imagine our numbers in Ireland are very, very similar. So I suppose to summarize, we've had good growth in the past. We've hit a 3-year hiatus. I think the prospects for us in Ireland for the next 5 years at least are very exciting. There's plenty of opportunity. I'll hand you back to Mark. Thank you.
Mark Davies: Thank you, James, and thank you, Richard, as well. Som the next 2 or 3 slides, I'm just going to fly through very quickly because I'm conscious of time, but you also -- you'll see a very consistent theme I think of value creation and rental growth in 3 PHP locations where we've been successful in setting a higher rental tone for the future of rental growth. So, the first scheme on the screen there is the South Petherton Medical Centre. This is in Somerset. It's a really nice community asset next to an NHS community hospital. We invested GBP 0.3 million in this during the year to deliver expansion space to meet growing demand. It's a very nice looking building. But importantly, for us, we're able to generate a very nice return of 9% -- over 9% yield on cost. And importantly, the rental tone here has increased by 18% from GBP 195 per square meter to GBP 230 per square meter. So look, it's significant and positive move in the right direction, yet again providing important evidence for the future and gives us confidence about our future rental growth outlook. The next asset in Rosyth up in Scotland, the purpose-built medical center, just north of Edinburgh. The asset management team during this year invested GBP 0.8 million to create a new clinical wing. I don't know that photo actually does it justice, but it looks good when you get to see it. It's refurbished space for the GPs. Yield on cost of 5.5%, but importantly, a profit on cost well in excess of 10%. Again, the theme here is consistent, managing to increase the rental tone by over 17% to GBP 165 per square meter to GBP 194 per square meter. And we increased the lease term on this occasion to 25 years when the previous lease had less than 2 years to run. So a very good piece of asset management and good news all around. The third scheme is the East Park Medical Centre in Leeds, very strong community asset. We're currently on site refurbishing and expanding this property to meet an ever increasing demand. In return for our investment, we get a new 25-year lease. It's a very good example actually of the partnership relationship approach that we have with the NHS and the GP practice who are actually holding over until we committed to this investment. We get an attractive yield, over 6% yield on cost. And I think it's, again, just another classic example of good asset management, meeting an ever-increasing demand and a good return on capital. So, look, I've flown through that quite quickly. 3 good assets, 3 good pieces of asset management, 5 recurring themes. #1, demand for space is high and growing. #2, we get a very good return on this when we invest our shareholders' money, yielding an average return or yield on cost of 6% and profit on cost in each of those examples in excess of 10%. The third theme is rental growth. It's consistent, it's reliable and we want to see more of it. The fourth theme that we saw on the 3 slides was the evidence that we are able to provide for the future. So we're giving good examples where we've increased rent by anything between 15% and 20%. And that obviously provides the evidence that we need for the future to drive future rental growth. And the fifth theme that we saw was longer leases. So, we're seeing throughout our portfolio, particularly for assets that we've owned now for quite a long time, sometimes those tenants are holding over. Sometimes we've only got 1 or 2 years left to run and those leases are shortening. Look, we're never complacent about this, but our assets are purpose-built and it's really hard to move a primary care medical center and a patient list that's growing. There's no new supply. The barriers to entry are very, very high. So we feel very, very confident about our occupancy and the future rental growth prospects. So great work all around from the asset management team and 3 good examples of which there are over 30 completed asset management events during the year. Slide 23, risk control development. At the Capital Markets Day in October, we had quite a bit of inbound on our development pipeline. And there were quite a few questions in the room on the day and there was quite a bit of follow-up that we dealt with. So I thought I'd just spend a little bit of time explaining what exactly we mean by risk control development at PHP. I think there are 4 points that I'd like to make, which you don't necessarily see on the slide. But first of all, we do not commission any capital for risk control development unless there's planning in place, all consents are in place, legal and otherwise. We would have an agreement for lease, which is a legally binding document for 25 or sometimes 30 years in place with the NHS in the UK and the HSE in Ireland. So how we think about the project? It's all risk controlled, it's very low risk and we're able to make a very, very good return. It's probably no coincidence that 75% of the pipeline on this slide is in Ireland. And I thought James articulated very well that the rents in Ireland, not just because of inflation, have very quickly moved from the mid-teens into the mid-20s. And as a consequence of that, through the re-tender process that James alluded to, we're now starting to see the healthy scenario where we can actually get stuff done. And we've got the team. I think that's pretty obvious. We've definitely got the capability. And we can make money working alongside government to build these new modern, flexible medical centers. But let's not take anything away from our prospects in the U.K. The South Kilburn scheme here you've seen before and will be -- that will be completed the third week of May, which I think is the same week that the 10-year plan comes out, and that's going to make us a return of 6.2%. We want to do more in the U.K., we feel confident about that and we'll certainly do more in Ireland. But hopefully, that's been a useful overview as to how the management team thinks about risk control development. So just as we move towards Q&A and wrapping up today's presentation, I think it's clear to us, and hopefully, we're exercising a high degree of confidence in the room that we see a significant opportunity ahead in primary care for our business. Government-backed income will remain at the core of our strategy. Our track record is one of the best dividend stories in the market. We've now got stability in our valuations. That gives us confidence after 2 or 3 more challenging years as we've all adjusted to the higher interest rates environment. And our confidence has enabled us to start investing again as evidenced by the Laya Healthcare acquisition announced this morning. The 10-year government plan will be published shortly and we think that will accelerate our growth ambitions, help us deliver outstanding shareholder returns. And we think there's never been a better time to invest into PHP. So to conclude, before we move into Q&A, you've heard from Richard, you've heard from James and you've heard from myself. We're very pleased to be able to present to you a very robust, solid, strong set of financial results underpinned by operational and financial excellence, showcasing our long-term track record of success. Our operational resilience throughout the year reflects security and longevity of our income, which is a crucial driver of our predictable income streams for the future. We continue to focus on rental growth, both rent reviews and asset management activities. This underpins our earnings and dividend outlook. Our dividend per share has continued to grow, remains fully covered and we expect that to continue as we approach our 30-year anniversary. We have a dedicated dedication and determination to continue growing our dividend and to remain doing that on a fully covered basis. And when we think about the outlook, we are so encouraged by the opportunities that we see that lie ahead across the group in all aspects of our business in the U.K. and in Ireland from asset management, risk control development, rent review, asset management, acquisitions and beyond. We also see the scope for further growth, whether that be adjacent sectors in JVs or new primary care markets. Our long-term goal remains as we set out at the Capital Markets Day in October is to be the leading owner, manager, developer of primary care property and to own government-backed income streams, which always remain the core of our business model. A new NHS plan will provide a strong tailwind behind our business to achieve all of this. We see no reason to drift away from this proven and successful strategy. We see complementary income streams such as the Laya acquisition announced this morning. This will create shareholder value. We have the knowledge, the relationships to do more attractive acquisitions. I've got great confidence that we can continue to deliver strong financial results and sector-leading performance. We've got a brilliant team. We've got a platform that's taken almost 30 years to establish. We've got a market-leading position. And I'm super excited and optimistic about the significant opportunity that lies ahead for PHP. So on that very positive note, I'd like to take the time to thank you all for listening to our presentation. I'd like to invite my colleagues back to the stage and open the floor to questions.
Q - Andrew Saunders: It's Andrew Saunders from Shore Capital. Great to see high-quality acquisition like you've announced this morning in Ireland and obviously one where you know the vendor very well. If we could turn to the GPs themselves, who are obviously a big ownership group of these assets, both in the U.K. and Ireland, I wonder if you could give us some sort of flavor on how sentiment might be changing there with regards to their attitude to potential deals and acquisitions becoming a more meaningful growth strand of your business once again?
Mark Davies: Sure. Yes, good question, Andrew. So, you're talking about primary care medical centers owned by GPs, which of course, there are many. Now we see this coming through our pipeline continuously. Opportunities are often led by GPs who probably mortgaged those properties in time gone by. A lot of those mortgages were quite long-term and often low cost by nature. And of course, a lot of those mortgages are now coming towards an end. And at that moment, I think there's a moment of obvious reflection. Why would they want to go again? Why would they want to refinance in what's now a higher interest rate environment and often will be the first phone call that they make. These negotiations sometimes take quite some time. GPs can be not complicated to work with. They're actually quite straightforward, but often they don't make decisions at the pace that we might. But there's an obvious flood of pipeline that should come through as these sort of long-term loans come towards an end in the next sort of 5 years or so.
Unidentified Analyst: It's Thomas, HSBC. I just got a couple of questions. First one on rent growth really. Of the 175 open market rent reviews that were completed this year, one of them related to 2024 at 3%. Just wondering how much evidence is there in the market to support the 3.2% ERV growth from the valuers?
Richard Howell: Yes, I think most of that rental growth probably comes from prior years. So rent reviews settled of '22 and before. I think your comment is probably right. There's not much evidence today. And I think that's just one rent review is probably not reflective of the whole year. So I mean, it's going to take a couple of years before the rental growth from '24 really starts to feed through. And so most of the ERV growth we saw this year probably relates to prior years, not the current environment. I think as we set out in the slides, especially on the asset management schemes, you can see where rental terms are growing 15% to 20% higher than the previous passing rent. And that creates the evidence for future rent reviews at adjoining assets and locations. And that what gives us the encouragement about where we think rental growth will go over the next couple of years.
Mark Davies: On the asset management slides, Tom, you would have seen, and we did this deliberately, we chose 3 assets where the lease length was low or 0. And we were seeking to demonstrate that even in that scenario, we could generate rental growth that's clearly more than double-digit in those scenarios, sort of 17%, 18%, 19%. And of course, that evidence in those parts of the country from Somerset all the way up to Scotland will provide the evidence we believe on -- because we obviously own lots of properties in all of those areas for rent reviews in the future.
Unidentified Analyst: Got it. And second question, I guess, yes, on lease length, 9.4 years, WAULT, you mentioned that it would increase if you completed some asset management today. Should we though still expect the lease length to reduce through time? And how much of a valuation headwind might that create?
Mark Davies: Yes. So there's 2 parts to your question. In terms of predicting the future, I think we would expect to retain an average lease length at or around the current level. Richard articulated on one of his slides that all the deals that we know that we can do that would get to 10.2 or above. But let's just say we didn't do that and we were being too optimistic and our lease length on average started to come down from the current level. How do we feel about that, I guess, is probably the most important question. I personally feel very relaxed asked about it. I don't think lease length is the most important consideration. I think it's important when we look to invest capital in new schemes, and we showed a few on the slide, didn't we, where there was one we went from 0 lease length to 25. Okay, we put GBP 800,000 in to do that, but we got the rent up by 17% at the same time. Hence, we make a good return. Look, this is a sector, put another way and to be maybe a little direct about it, I don't think you need to be concerned around lease length. Where are these patients lists going to go? Where are these GPs going to go? These are purpose-built modern accommodations. There's just nothing else in the market. There's no supply. So if Harry, our Chairman was here, he would say to that specific question, I think we've only lost about 4 or 5 tenants in 30 years. We are a very, very stable asset class. And with all the tailwinds that we've got behind us, that's set to continue. Now in terms of the valuation dynamic because the valuation is -- it's an art as well as a science. And I think in the valuers' mind, as lease length adjusts, whether it goes up or down, that may or may not have an impact on valuation. I have strong conviction that it shouldn't actually make any difference because of the asset class that we own and the demand for space. But always happy to have that debate. But it's not something that as a management team that we have a forensic focus on. We are forensically focused on getting our rents up because we can do something about that. And look, if the NHS or the HSE for that matter, in Ireland takes longer than they should to agree some of these deals that are ready and in the oven and ready to go and that WAULT comes down, I don't think anybody should be concerned about it. And I say that with confidence.
Max Nimmo: Max Nimmo at Deutsche Numis. One of my questions has already been answered there I think, but maybe just on the 10-year health review. Clearly, there's a lot of focus on that right now. But as you rightly pointed out, it's not like the government has a huge amount in its coffers right now to be putting capital expenditure into these kind of things. So I guess, it's just around the risk that they can't do that and they use your capital, you do still feel that they're going to be able to cough up on the rents essentially to kind of accelerate that. And I guess, the real question is, is there a risk here that they put out a big 10-year plan, but actually not much changes for the next couple of years? I guess, what's the risk around that?
Mark Davies: Yes. So, there's obviously 2 parts to that question. Just picking up on the second part, is there a risk that they put the plan out and nothing happens? Well, there's always a risk, that might be the case. But first and foremost, we're dealing with a very ambitious Secretary of State who's got future ambitions. So he will want to succeed with this. And I think it's no coincidence that we're seeing some of the changes around some of the NHS management team for the future. So we're quietly confident that they're going to want to get stuff done. Now who is going to pay for it? So we saw the budget of last October. It didn't please many people. It was actually a good budget for us, right, because it's GBP 25 billion going into the NHS that wasn't there previously. Now some of that will go to people and people costs inevitably. Some of that will go into premises. There's a huge repairs and maintenance backlog that the government is going to have to solve. But first and foremost, if you take a long-term view, way beyond the next 2 years, and I'm talking about the next 10 years, to do this properly, the government is going to have to shift patient journeys into primary care. It's one of its 3 pillars of success and that's where we come in and we provide that accommodation. We've got the capability within our existing portfolio to extend and refurbish, provide a wider range of services. And as long we get the rents right, and they do need to increase even from today's levels, then we can develop new schemes as well. So, I think about it as a partnership approach. We're here to help. And there will be some historic legacies in the system around PFI and other things that we know about, but we've never gone into that space. And I'm pretty sure that government has realized that to fix this, it needs to work with the private sector. We're #1 in this space. So I think we're going to be a big beneficiary of the plan.
James Carswell: It's James Carswell from Peel Hunt. Yes, you talked about the opportunities you're seeing in terms of development and acquisitions. Just in terms of funding those on the screen, you've got -- you're obviously recycling assets. I mean, do you expect to see more recycling over the coming years given the opportunities you're seeing? And where should we see those or disposals? Which parts of the portfolio do you think are more likely to be up for sale? Are there particular geographies or are there particular kind of characteristics in terms of lot size or lease length or even the kind of whether it's index or open market rent review that you see slightly weaker returns?
Mark Davies: Yes. So we always get approached about parts of our portfolio where there is a special purchaser. Ironically, it refers to Andrew's earlier question, sometimes it's from the GPs themselves or sometimes from a local NHS trust who suddenly seems to have access to a pool of capital that they need to spend by the end of March. So we get plenty of that, but we don't necessarily react to that. What we do is we think about the portfolio that we own. Like any portfolio of size and scale, it evolves and some of your portfolio becomes non-core, if you like. In terms of what those non-core assets look like, James, we prefer larger, more scalable, more modern premises because we think that's the NHS of the future for primary care. And we do have a few smaller legacy assets that we could -- and there's quite good liquidity in that space. So that's how we think about it. But we -- if you were taking sort of a more sort of a strategic view around capital recycling, if we were to sell a portfolio of size and scale, it would be a portfolio with the assets we feel we've generated the value through asset management or development. And we would be fundamentally selling a very long secure income stream where we felt we've taken out as much value as we can rather than the opposite where we think we can do something with the asset to create value. So yes, that's how we think about disposals. And we will definitely look to sell assets in the future. Today, we've announced an acquisition. We think it's a good time to be buying again. But also we think that there's more liquidity now in the market. There's obviously a lot of interest in the sector as a whole. I think by definition, that will generate liquidity. And we should be recycling assets. It's just a good discipline from management, if nothing else, to prove valuations, to generate cash and to reinvest that and then create a margin on those recyclings. There's one question that's come up -- there's 2 questions. I can't answer. But what gives you confidence having a greater exposure towards open market reviews is the right strategy going forward?
Richard Howell: Well, hopefully, as alluded to earlier, the rental growth and the rental terms that we're seeing on new developments, 20% to 30%, and in particular, the asset management projects, 15% to 20% higher gives us that confidence that the rental growth will have to follow, because if it doesn't, these new asset management schemes which are there to deliver the shift of services out of hospitals into the community just won't happen. And it's far cheaper for the NHS to deliver healthcare in the community setting compared to a hospital setting. And that's how the economics work for the NHS, even though its budget is extremely constrained.
Mark Davies: Yes, very much so. And when we went through the valuation process, bear in mind that a lot of the work that has been done by our 2 external valuers was being done where there was a time of great volatility in the interest rate market, particularly in gilts. So that must have been a factor that they would have been considering at the time. It's inevitable because sentiment always drives behavior. And in spite of that, we obviously saw a positive improvement in our valuation. But Richard highlighted on his slide, that 3.2% ERV metric through our values, I thought it was quite interesting, because obviously, we're providing evidence and they get to see the whole market when they're making these determinations. But it certainly does give us confidence that that's going in the right direction. I showed you 3 examples that we will have no doubt shared with our valuers, but there's plenty more of this to be done within the existing portfolio. And fundamentally, we can be optimistic about our rental growth prospects for the future. There's no more questions coming through virtually. So, thank you for those questions that have come through. Thank you for those who have taken the time to ask a question in the room. We're happy to take maybe one more question if we have one. And if we don't, management will be next door for the next 45 minutes. Over coffee, we can talk to you then. Any further questions? Brilliant. Well, thanks again for all coming this morning, and wish you all a very good weekend.